Operator: Ladies and gentlemen, thank you for standing by. I'm Gailey, your Chorus Call operator. Welcome, and thank you for joining the OTE conference call and live webcast to present and discuss the First Quarter 2022 Financial Results. All participants will be in listen-only mode and the conference is being recorded.  At this time, I would like to turn the conference over to Mr. Michael Tsamaz, Chairman and CEO; Mr. Babis Mazarakis, Chief Financial Officer; Mr. Panayiotis Gabrielides, Chief Marketing Officer, Consumer Segment; and Mr. Evrikos Sarsentis, Head of IR and M&A. Mr. Tsamaz, you may now proceed.
Michael Tsamaz: Good afternoon to all of you, and welcome to OTE's first quarter 2022 earnings call. We had an exceptionally strong first quarter, provides a solid base to continue progression throughout year of 2022. Part of the topline growth reflects the rebound from last year's first quarter where some activities were still experiencing lockdowns. In addition, our profitability benefited from strong levels but there is also plenty of hard, fundamental strength in our results. Looking ahead, we're well positioned. We're also cautious that this is a year of many pitfalls that require particular vigilance. The health crisis is not over yet. The geopolitical situation is getting more troubling each day. The macroeconomic environment is impacting the disposable income of our customers, as well as our own cost base. In our home market, the competitive landscape is undergoing many changes. So, while we're glad that the year started on a strong note, we're also fully aware that we will need to work hard to continue advancing along this path. But back to the first quarter, when we achieved a nearly 5% increase in revenue and an 8% improvement in EBITDA at the Group level. In Greece, we posted significantly higher revenues in our EBITDA, and margins were up nicely. At the core of our business, our retail service revenues in Greece rose nearly 4%, with an even higher increase in mobile, mainly driven by postpaid. In Greek fixed, we had an impressive double-digit jump in TV, reflecting the enrichment of our content and the rise in subscriber numbers over the past year on top of a favorable comparison base. This more than offset a moderate slowdown in broadband growth ahead of our announced doubling of speed at no extra cost. Beyond the speed upgrade, our focus, as you know, is on Fiber-to-the-Home, both in terms of rollout and subscriber acquisition. We passed 634,000 homes at the end of the first quarter, well on track to reach our year-end goal of 1 million homes. We also signed up another 14,000 subscribers, so take-up is growing even as we are accelerating rollout. Romania is a fiercely competitive market where we are still seeing the impact of our transformation into a mobile standalone operator and the effect with sharp drops in mobile termination rates in our topline. We remain confident in the strategy we implemented in Romania and in the performance it will lead to. We're taking a number of initiatives to maintain and reinforce our leadership in the Greek telecoms market. Our massive push into Fiber-to-the-Home is just one of them. On both the fixed and mobile phones, we are constantly enhancing the quality and reliability of our services to our customers. We mentioned the speed doubling up -- doubling in broadband. It will enhance our positioning, market competitiveness, and in the medium term, should greatly strengthen our performance. We just launched our plan to offer unlimited voice on some of our postpaid mobile offers. We're very proud of the initiatives we've taken on all fronts to boost customer loyalty. So, while we're fully aware that 2022 might not be an easy year, we feel that we are in great shape to face the challenges. We're continuing to invest. We're working our OpEx base to minimize the impact on inflation and growing energy costs on our profitability, and we're constantly strengthening our positioning and brand equity to support our revenue base. This is why, despite growing uncertainties around us, we're confirming our outlook for 2022. Now, I'll ask Babis to review our performance in the quarter. Babis?
Babis Mazarakis: Thank you, Michael. Greetings to all of you from me as well. Our first quarter performance was indeed very good, and Michael is right to point out that part of this is due to factors that are not repeatable. Therefore, I hope by end of my presentation, you will have a clear picture of what's recurring and what is not and what to expect for the balance of the year. So, Group revenues were up 4.7%, compared to the first quarter of 2021. This is a robust performance even if we consider the relative weakness of last year's period when we faced the impact of COVID. In Greece, the revenue increase this quarter was in line with the progression of the Group level and revenues were up in Romania as well. Group adjusted EBITDA after leases rose by 8% to €325 million this quarter. Part of this sharp increase reflects the low base and one-off factors in Romania. Excluding this, however, EBITDA growth would be roughly in line with the Group topline increase, a powerful testimony to our ability to offset the impact on our profitability of highly certain major cost items. Group adjusted EBITDA margin stood at 39.4% and was 120 basis points higher than in the first quarter of 2021, with part of that improvement due to the non-recurring factors I just mentioned. Now, looking at Greece, the increase in total revenues was driven by both fixed and mobile, pretty much across all our activities. Revenues from Greek retail fixed services were up 2.8% in the quarter; while adjusting for the comparison effect I mentioned, would have been up 1.9%. Growth in TV revenue was striking. A part of this is due to the rebate we offered last year to shops and cafes shuttered by lockdowns, but the underlying growth benefited from our strong and expanding content and from our over-the-top offerings. The number of TV subscribers rose by 12,000 in the quarter to 637,000, a very satisfactory year-over-year increase of more than 10%. Broadband revenue growth was touch lower than last year's levels, but this was to be expected, following our announcement of significant speed upgrades to be carried out in the near future. At this time, we are focusing our marketing efforts on Fiber-to-the-Home and the numbers Michael mentioned, both in terms of installation and take-up are consistent with our plans. We added nearly 60,000 new fiber subscribers for a total of over 1.2 million at the end of the quarter, representing a 53% penetration of our total broadband base. Year-on-year, this is a jump of around 20%. The number of Fiber-to-the-Home subscribers, FTTH, reached 75,000 or 12% across . This already high penetration level is climbing fast. Speeds in excess of 100Mbps now represent 28% of total retail subscription, up from 17% a year ago. ICT is benefiting from our EU recovery fund, and we anticipate further acceleration in coming quarters as we position ourselves as a key player in the digital transformation of our market. Wholesale revenues were up on higher international transit, as well as fiber acceleration supporting domestic wholesale. Now, Greek mobile service revenues posted a very healthy growth of 4.5%, as we continue leveraging our network superiority, notably in 5G. Visitor roaming picked up sharply, but they never represented a significant contributor in this particular first quarter of the year. Excluding the positive impact, however, from roaming, mobile service revenues would have been up by 3.9%. If, as we expect, this trend continues in the high tourist season, it will have a meaningful impact later in the year. The increase in service revenues was mainly driven by postpaid. The introduction of unlimited voice packages should further improve the competitiveness of our postpaid offering. Prepaid revenues recorded moderate growth, benefitting from ongoing execution of our more-for-more strategy and to some extent from lowering of taxes or the complete elimination for young customers. The increase in operating expenses, excluding depreciation and amortization and one-offs in the first quarter was aligned with the growth in revenues. Much of the increase as you can imagine, is due to higher energy cost, which was about €10 million for the quarter. They should post a similar increase in the second quarter, then start to taper, considering that cost had started climbing in the second half of the last year. Budget provisions, which had been impacted by the pandemic last year, were down by about a four. Personnel expenses pursued a steady decline. There were no expenses related to any retirement in this quarter, but as you might have heard, we are implementing a new program that should mainly be expense in Q2, expecting to result in annual savings of about €14 million, which will start materializing in the second half of the year and in 2023. We do not expect any material impact from the increase in the minimum wage, as most of our employees already enjoy higher remuneration levels. First quarter adjusted EBITDA after leases in Greece was up 5.1% to nearly €314 million with a margin of 41.9%, up 30 basis points from the same quarter last year. Total revenues in Romania were up 2%. The increase is partly due to other mobile revenues, which benefited from the provision of MVNO services store. Services should be gradually discontinued in the coming quarters. For daypart, service revenues were down due to sharp regulatory cuts by 28% in mobile termination rates, particularly impactful this quarter at the revenue level. Adjusting for the severe impact of regulatory cuts in termination rates, service revenues would have been up by 1.2%, a second consecutive quarter of underlying growth in Romania mobile service revenues. Telekom Romania Mobile strategy of migrating subscribers from pre to postpaid is making continued progress, fueling a continued increase in the postpaid subscriber base. We expect Telekom Romania situation to improve in the second half of the year, reflecting a strategic direction, as well as more favorable comparisons with 2021. Total Telekom Romania operating expenses, excluding depreciation and amortization, were down nearly 13% this quarter, driven by significant reductions in commissions, budget, maintenance, and other items. Telekom Romania Mobile's adjusted EBITDA after leases was nearly up €9 million in the quarter to about €12 million. Excluding the one-off impact I mentioned earlier of the MVNO, underlying profitability will still have doubled compared to the first quarter of last year. We continue to expect a significant rebalancing in the second half of the year. Now, going down to the rest of the P&L. Group operating expenses, excluding depreciation and amortization and one-offs, were up slightly compared to the first quarter of 2021, while Group personnel expenses were down. All of the increase in expenses is attributable to higher energy cost. A part of the 8% decrease in Group adjusted EBITDA after leases was due to the favorable comparison base, as well as the one-offs in Romania. It will not be extrapolated for the balance of the year. We estimate that the underlying EBITDA growth would have been roughly in line with the increase of the topline. Interest expenses was down by one-third from the 2021 level. The double-digit decrease in income taxes primarily reflects lower tax rates. Turning now to cash flow. Adjusted CapEx was €93 million, down 7% from an already low level in the first quarter of 2021. However, we expect a more normal run rate to start in the second quarter, as we accelerate payments to contractors working on the Fiber-to-the-Home deployment. In addition, TV content payments are also skewed towards the balance of the year. As a result, we confirm our €620 million CapEx guidance for the full year. The sub-jump in the quarter's adjusted free cash flow after lease reflects credit profitability at the absence of voluntary retirement schemes in addition to the CapEx guidance. We maintain our stated guidance of €600 million for the full year, as well as our €500 million shareholder remuneration guidance. So, to sum up, we had a very solid first quarter in both Greece and Romania. There are obvious factors that make this quarter exceptional, and we clearly cannot just multiply all the metrics by four to have an accurate vision for the year ahead. But we are positive and reiterate our guidance for the full year, even if we know that it's not going to be an easy period for us and for the world. On this note, Michael, the rest of the colleagues, and myself would be around the table -- would be ready to take your questions. Operator?
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session.  The first question is from the line of Patrick Maurice with Barclays. Please go ahead.
Maurice Patrick: Good afternoon, guys. Maurice here from Barclays. Thanks for taking the question. Couple from me, please. And the first one, you made some references in your prepared remarks about the European recovery fund, and I would love to get a greater sense in terms of when we'll start seeing a contribution from that actually coming through in terms of the release of those funds and the impact on your business. And the second unrelated question just around any change in competitive behavior since sort of windfall connect combination would be helpful. Thank you.
Michael Tsamaz: Thank you very much for the questions. On the EU recovery funds as we have also commented in previous periods, the benefit for us comes through the fact that a good part of this recovery fund, namely around €5 billion are dedicated into digitalization projects in Greece. And these usually comes with -- through ICT programs and auctions that we are really active in this area. So, I think in the speech, we mentioned that ICT is on the right track to grow. And as more and more of these projects will be materialized in terms of biddings and awards to specific vendors, among which we hope to be, then these also will flow into our P&L. It's difficult to quantify, because this is a part of the timing and also the process to get there. But it's important to note that we -- this is the main channel through which we see the benefit of the EU recovery funds on our numbers. Now, on the competitive behavior, I think that there is nothing better or worse versus the previous quarter. The competition continues to be quite intense and quite intensive and it's a battle day-to-day on all fronts, both in mobile, fixed, and TV. And this is why -- and I think it was very evident in our presentation that we continuously come up with consumer offerings that makes sense in order to be able to stay high at the consumers preferences. The doubling of the speeds on the fixed, the unlimited voice programs we just announced on mobile, our continuous reshuffling of the TV content in order to find the right mix and the appealing mix for our customers, and also, as we discussed this before, the continuous drive to win the ICT gain. So, all these results come not from the fact that competition has become a little bit less intensive or more intensive. It's the same intensive -- highly intensive, as it used to be.
Maurice Patrick: Thank you.
Operator: The next question is from the line Ierodiaconou Georgios with Citigroup. Please go ahead.
Georgios Ierodiaconou: Thanks. Good afternoon. Couple of questions from my side as well, please. The first one is around the benefit from the lower special taxes. Obviously, it already benefited a bit the mobile service revenue in Q1. I was wondering if the benefit in the coming quarters could be more meaningful or whether we've already seen the impact. Just wondering how this is, in a way, passed through the renewal process of the contracts. And I also wanted to ask a question around the speed increases on broadband that you mentioned earlier. I'm a bit confused, because I think these were announced at the end of last year. But then there were some complaints from one of your competitors that meant you couldn't implement it. I just wanted to make sure it's now being implemented as of April, May. Is that correct. And if you don't mind just giving us any indications of how you expect this to benefit maybe your churn and other metrics? And then a final question around Romania. There were some reports in the press that you are looking at strategic options. I know you can't comment extensively on this, but I was curious if you could perhaps outline some of your thoughts, whether you believe in-market consolidation is possible in Romania or whether that's not an option you are looking at, players are not involved in the market right now. Thank you.
Michael Tsamaz: Okay. Thank you, George, for the questions. Starting from the lower tax on the consumer tariffs, I think this has been around now for a couple of quarters. It's filtering into the -- let's say, in the demand. I think -- but I think the main driver of what we see in the mobile service revenues and in the fixed service revenues is the offering that we're making to the market. And the -- it is true that the more-for-more that we implemented on the mobile or the pre to post migration certainly is enhanced or facilitated from the lower tax regime. And this carry-over, we expect to see going on. On the doubling of the speeds, we are actually implementing it, as we speak. We are upgrading the customers wherever technically feasible and according to the capacity of the systems, and this is an ongoing exercise. So far, we have upgraded almost one-third, a bit 30%, more than one-third, I would say, of those who are eligible technically to be upgraded. So, it's going on. It is continuing. And on the Romanian case, I think you gave the answer to your question to yourself, I mean, it's a little bit of a discussion that confirms our interest to explore all of our strategic options. There's nothing complete that we could announce. So, at this point of time, the main focus is to stabilize and start taking the growth rate on the operational level, and I think it was evidence on at least at the mobile service revenues. We are now in positive territory for the second consecutive quarter, which among other things, it will also facilitate a possible strategic discussion. But there's nothing that is certain so we can announce.
Georgios Ierodiaconou: Thank you.
Operator: Your next question is from the line of Grigoriou George with Pantelakis Securities. Please go ahead.
George Grigoriou: Thank you. Most of my -- thank you for taking my questions. A couple of them, actually already been answered. Just a follow-up, if you like. If you can please repeat what you just mentioned before in your presentation in the opening remarks regarding a new voluntary exit scheme for employees? How many are you targeting and the annual savings you mentioned before? And second one, this, again on rumors. Apart from Romania, there's also have been rumors in the market that you're about to sign a three-year TV deal with , of course in football.. Thank you.
Babis Mazarakis: Okay. Thank you for the question. The first one, around voluntary exit scheme, we are launching a new program. The annualized savings is around €14 million, and the expected investment to get the payments would be around close to €35 million. Of course, this depends on the participation and on the ability to execute promptly as planned.
Michael Tsamaz: Okay. Regarding Olympia, of course, you know in our audience, you have some Greek journalists. If we -- if I reply to you, what will happen on Olympia . Of course, instead of reading about the good results we have this quarter, we will be reading about football.
George Grigoriou: So true.
Michael Tsamaz: So, let's leave it for next time.
George Grigoriou: Okay. Fair enough.
Michael Tsamaz: Thank you.
Operator:  Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you.
Michael Tsamaz: Okay. Thank you very much for being with us today in our results call for the first quarter of the year. We're looking forward to talk to you and communicate with you in the next announcement of the six months of 2022. In the meantime, I can say that we're pleased with the results and we'll keep up our efforts to maintain the good momentum we have, despite the difficult circumstances. So, take care, every one of you.
Operator: Ladies and gentlemen, the conference is now concluded and you may disconnect your telephones. Thank you for calling, and have a good afternoon.